Operator: Good morning. My name is Elliot, and I will be your conference operator today. At this time, I would like to welcome everyone to the America Movil First Quarter 2023 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. Now I will turn the call over to Ms. Daniela Lecuona, Head of Investor Relations.
Daniela Lecuona: Thank you. Good morning, everyone. Thank you for joining us today to discuss our first quarter financial and operating results. We have on the line Mr. Daniel Hajj, CEO; Mr. Carlos Garcia Moreno, CFO, and Mr. Oscar Von Hauske, COO.
Daniel Hajj: Thank you, Daniela. Thank you, everyone for hosting the first quarter of ‘23 financial and operating report and Carlos is going to make a summary of the results. Go ahead, Carlos.
Carlos Moreno: Hello, everyone. Thank you, Daniel. Good morning. Throughout the first quarter dollar interest rate are volatile hovering between 3.4% and 4%, a sentiment in the U.S. has merit between relief and inflation are claiming they had come under control anguish from the potential inflationary consequences is what appeared to be an increasingly hot labor market and fear of contagion stemming from the fall of important banks in the U.S. and Europe.  The value of our upgrade currencies vis-a-vis the dollar reflected the volatility, although they all ended up at the same versus the dollar and [indiscernible]. It didn't pay for being the only exception, mostly compared to 2.5% in Brazilian real, 4% in Colombian peso, 4.7% and the euro 1.2%. In the first quarter, we are at 1.1 million wireless subscribers, of which 1.9 million were postpaid clients. Almost half of the new postpaid shops mainly coming from the 4,000 came from Brazil to currently 5000 from Austria, 144,000 from Colombia, and 128,000 from Peru. On our prepaid platform, we had net disconnections of 754,000 clients, as Brazil disconnected 1.4 million, including 1.6 million former Oi subs, and we're not generating traffic. Organically we have solid growth, including Columbia with 354,000, and Brazil and Argentina, with approximately 200,000 each. On the fixed-line segment, we have 313,000 broadband accessories, including 139,000 in Mexico, 74,000 in Argentina, 47,000 in Brazil. In some of these countries, Mexico and Brazil, these were the best numbers that we have had before [indiscernible] in broadband for a long time. We ended March, with 301 million wireless subscribers of which 116 million were postpaid clients and 73 million fixed-line RGUs, including 31 million broadband accesses and 13 million Pay TV clients. We can insert an acceleration in excess growth, particularly in mobile, with our postpaid base increase in 8.7%, year-on-year, and prepaid platform 6%. On the fixed-line platform, broadband accesses were up to 2.6% and Pay TV was practically flat. Having recovered from the 2% decline from the year before. First quarter revenue was up 1.7% to 209 billion pesos with service revenue declining 2.2% in Mexican peso terms on account of the appreciation of the Mexican peso, versus substantially all of our operating currencies, which we do get better value for our international revenue.  EBITDA totalled 83 billion pesos in the quarter. It was up 3.2% in Mexican peso terms. Correcting for foreign exchange effects, service revenue was up 6.3%, a slightly faster pace than in the prior quarter and the same as the prior one. The top rate of growth that we have seen in a long time as well, just more than a year 6.3% revenue growth, which brings about an EBITDA growth of 5.8% after adjusting for profits obtained from the sale of telecom towers in the Dominican Republic and Peru.  So, as you can see, on the -- turn the slide, the trends have been very good in terms of revenue growth and EBITDA. And both comes via exceeding the forecast that we have given back in our investor day in October of 2021. On the fixed-line platform, service revenue growth came in at 1.8% at constant exchange rate. Its better performance in over a year, on the back of a strong expansion of broadband revenue 9.6%. On the mobile platform, revenue grew 9.3%. Mobile service revenue accounted for 62% of total service revenue. So we do see a slight deceleration in mobile revenue growth but upswing in fixed-line revenue growth, and the aggregate of the tools service revenue growth was 6.3%, one of the best rates, better in the first quarter -- the fourth quarter of last year, and the bottom third quarter of last year. The improvement of fixed-line service revenue growth was driven mostly by Mexico, Brazil, and Colombia, jumping to 4.1% from minus 1.3%, the prior quarter in Mexico to minus 1.4% to minus 3.5% in Brazil, and plus 4.2% from minus 3.6% in Colombia. Broadband revenue was up 9.6% in the quarter at constant exchange rates, while corporate net revenue increased 12%. With respect to mobile service revenue, Brazil lead the way with 21.5% followed by Eastern Europe and Mexico at 9.2% and 8.1% respectively. In deceleration we consolidated mobile revenue growth, reflect the slowdown of Colombia and Austria, with the pace of growth being reduced to 2.2% from 4.7% preceding quarter in Colombia, and to 3% from 4.9% in Austria. Brazil and Eastern Europe also lead the way in leading the growth upto 15.7% and 9.7%, respectively. They were followed by Brazil and Mexico at approximately 6% each. We turned an operating profit of 44 billion pesos in the quarter, up 9.7% year-on-year, which helped bring about a 30 billion pesos net profit in the quarter, slightly down 2.1% from the year-earlier quarter. The decline in net income had to do with a reduction in foreign exchange gains, down from 22 billion pesos in the first quarter of 2022 to 13.7 billion pesos in the first quarter of this year. We had a significant reduction in foreign exchange gains. And that's what explains the operating profit particularly that net income was practically flat slightly down as compared to an increase of nearly 10% in operating profit. Capital expenditures totalled 29 billion pesos in the quarter, with share buybacks amounting to 1.9 billion pesos. These items were funded by our operating cash flow, net borrowings of 2.4 billion pesos and the freeing-up of 5.9 billion pesos in assets formerly invested in our pension funds. Our operating cash flow was supported by the sale of towers in the Dominican Republic and Peru that provided 6.4 billion pesos and dividend income of 0.7 billion pesos coming from that item.  Our net debt excluding leases totalled 365 billion pesos at the end of March, having come down by 16 billion pesos from the end-of-December. It was equivalent to 1.39 times LTM EBITDAaL. So with this, I will pass the floor back to Daniel and we will start the Q&A session. 
Daniel Hajj: Thank you, Carlos. We can start with Q&A.
Operator: [Operator Instructions] Our first question comes from Walter Piecyk from LightShed. Your line is open.
Walter Piecyk: Thanks. Carlos, I guess the first question is on it's kind of a weird specific ones, so I apologize I usually ask larger macro. But, if you look at Mexico your equipment revenue grew year-on-year but if you look at the subscriber growth your net ads I think were lower and churn rate was lower, so are you just selling more expensive phones in Mexico driving that a higher equipment sales?
Carlos Moreno: I think what is happening in Mexico we have the fourth quarter that it's Christmas in Christmas last year, we sell a lot of equipment, and we have some disconnections, because people only change the equipment, they bring the same in their new equipment, and that's why you're seeing higher sales and changing the theme so you don't see too many new subscribers.  I think we're doing good in selling equipment. We have a good profit, good revenue there. And overall, I think we're doing very well on new subscribers. Also in Mexico, you'll see the postpaid is starting to grow again, we have around 85,000 postpaid new subscribers. So I think our 5G network is doing good. We're putting a lot of customers in this network. We are bringing also 5G in prepaid in those days. So overall, I think we're doing good in equipment and net adds in Mexico.
Walter Piecyk: Daniel, just an overall question, I guess in the U.S., the replacement cycle is lengthening people are holding on to their phones longer. And I think that's kind of what I was trying to understand is, I understand that in near market there's a lot of SIM cards that are connected to gross ads, and net ads. I'm just curious, so, given the investments you've made in 5G, how are overall phone sales in general across the markets, whether it's just Mexico or Brazil in general? Are they -- are people holding their phones longer? Are you seeing more upgrades in your markets because of your network investments? Can you give us a sense of what that market looks like?
Daniel Hajj: When our ARPU is growing in Mexico, so you're seeing people is using more in prepaid and also in postpaid people is upgrading their plans to a better plan for 5G, I think 5G is working very good. Also, we're doing good financing in the handsets, we’re also financing in the prepaid market. So we're financing postpaid for a long time, and we're starting to do a little of financing in the prepaid and it's bringing good sales and good customer. So that's doing good in the cycle.  I think it's reducing -- it's getting a little bit longer -- the people everybody is thinking a little bit what is happening, interest rates and everything in the economy. So people is trying to hold a little bit more for a long -- a little bit more time there found, but we're not seeing the big changes right now in Mexico and Latin America. Let's see what happens in the next quarters.
Walter Piecyk: And I just -- if you don't mind on the capital. I'm sorry. Go ahead, Carlos. 
Carlos Moreno: To make it clear that everybody is focused on this equipment revenue, we're growing nearly twice as fast in Mexico service revenue, okay. And that's basically a lot of what these have to do with a minimum of expenses, a lot of equipment financing that we're providing to every insurance and that has proven to be a very good combination. We are getting a good margin on sales and we're getting a good margin out of financing itself. So that's something that some people do not cover.
Daniel Hajj: And I'm going to add another thing. The other thing on that is, I think, last year, the increased increase of importing handsets in the market has been growing, and with interest rates getting higher, I think the importing handsets has been reduced. So give us the opportunity to sell more through that. I don't think the market is growing. But I think the sell is growing, selling more and more handset. It's what is happening right now.
Walter Piecyk: Can I assume that if you're financing a phone to a prepaid customer that if that customer is not going to recharge their phone each month that you'll require full payment of the phone? Or can they continue to have make their finance their lease payments or their finance payments on their phone and not recharge on the prepaid because obviously, that would be something that could help your churn rate and the prepaid side of things as well?
Daniel Hajj: We're starting to finance is not a big operation, but what we're seeing is that we have, we can lock the phone, if they don't pay, then we can lock the phone that they cannot use the phone. So people are starting to pay again. So it's been the bad debt is not it's lower than what we're thinking. And we're going to do that smoothly as lonely to see that it's a good business for us, means good businesses grew the new subscribers more, they charge more. And we have profit selling these concepts. So those are the three things that we're selling, that we're seeing.
Walter Piecyk: And if you don't mind…
Daniel Hajj: In postpaid as I said in postpaid, we have been financing for five, seven years. So we have been doing that for a long time. And it's been very good.
Walter Piecyk: If you don't mind. The other question was just on target leverage, because I noticed that your share repurchase was a bit lower in the first quarter. Have you changed your kind of view on target leverage given the kind of rate environment that exists?
Carlos Moreno: We have probably about $100 million equivalent to share buybacks in the first quarter typically, as we have said in other calls, our cash flow is very seasonal. And that's partly why we have less buybacks in this quarter always. I think another thing that we are taking into consideration, I think it has to do a little bit with CapEx. 
Daniel Hajj: Yes. What we're seeing is that we have like a target of a billion, a little bit more or less for the next three years in CapEx. And we're seeing that if we put a little bit more fiber that brings more connectivity to houses to businesses, long enterprises, data centres, and give more fiber for 5G, it's been good is a good opportunity.  And we're thinking to increase a little bit our CapEx this year to bring forward some of the CapEx, it's a good opportunity in some countries to do that for around maybe 4% to 5%, more than what we had this year. And we're looking that it will bring us good subscribers, better ARPUs, more penetration in broadband, in corporate, in a lot of things. So that's why we're reviewing and seeing to do in some countries, the world.
Walter Piecyk: Thank you. 
Operator: Our next question comes from Leonardo Olmos from UBS. Your line is open.
Leonardo Olmos: Hi, good morning, everyone. Thank you for taking the question. So I got a couple of ones. The first one is, can you please discuss the telecom separation that has been requested by your competitors? And if there's a risk of IFT doing something about it, or maybe directly dam or government? That's the first one. Thank you. 
Daniel Hajj: Well, what you have been seeing this a lot of noise from the competitors in the press. But our position is that we do believe that there is a substantial evidence supporting the needs of our deregulation in the telecom sector. I think the upcoming revision process with the IFP will bring a good opportunity for relaxing the regulation in Mexico.  The only thing that I want to add is let's wait for August to see what are going to be the comments of the IFT and see what is happening both in our -- the point is that Mexico needs deregulation in the telecom sector. More investment, less regulation is what all the countries and all the world wants.
Leonardo Olmos: Crystal clear. Thank you. And the second one, we notice some cost pressures to relevant in a few countries, especially Colombia and Mexico that has higher OpEx than we estimate here in UBS. Can you discuss what happened and your expectations for the remaining 2023? Thank you.
Daniel Hajj: For your note, and saying the EBITDA margins in Mexico came down by 100 basis points, when you compare it to total revenue and that has to do with equipment sales, and we are starting to evaluation equation growing nearly twice as fast service revenues from mobile. So we do have -- if you look at the EBITDA margin relative to service revenue, there's a slight reduction, but it's something like 30 basis points, or 40 basis and not the 100 basis points that we mentioned, and this reduction is practically all having to do with a new legal framework. We are now obliged to consider things by case you want to go other things we need to account for that earlier. So there's a little bit of a different of that in the first quarter.  So all that which is basically not a change in the cost, or the year. But yes, change in the way can we account for it throughout the year. That's the only thing that we have that we can say what it is to do in Mexico. In the other countries, we don't really have anything to do. Maybe in some cases, mostly provisions. It's really not something that we are seeing in customs. Some of the pressures eating of margins, certainly not the case in Colombia.
Carlos Moreno: A little bit in Colombia, what's happening a little bit, I think there's more pressure, a lot of competition. And we're starting to grow again in the broadband. So I think that's more or less what is happening. The exchange rate goes a little bit high. So some cost related to peso dollar, Colombian peso to dollar. But overall, I think Colombia is also doing good. We still we have a very good margin in Colombia. And we're going to compete in Colombia, and we're going to take opportunity of the market. So that's what we're going to do.
Leonardo Olmos: Understood, thank you very much. Carlos and Daniel. Have a good day. 
Operator: Our next question comes from [indiscernible] from JPMorgan. Your line is open.
Unidentified Analyst: Hello, guys. Can you hear me?
Daniel Hajj: Yes.
Unidentified Analyst: Perfect. Thank you for taking my question. So what is the timing and the goal to surpass 80% FTTH penetration in Mexico? And the second question in Brazil, we have seen that you've been accelerating efforts FTTH in Brazil, is there any mindset regarding fiber overlay? Thank you.
Daniel Hajj: What the natural FTTH penetration in Mexico is 69.8%, we only reach 70%, 80% we have next year of penetration. So we are doing a big effort to do the migration from copper to fiber. We've been building a lot of fiber into the home. So if I remember last quarter, we mentioned 62% of penetration, now we move to almost 70%. So I think in the next year we will reach 80%.
Carlos Moreno: And the next question on Brazil, can you repeat that please?
Unidentified Analyst: Sure. We have seen that you've been accelerating FTTH also in Brazil, just wondering if there is a new mindset regarding fiber overlay. Is there a goal as ambitious as now in Mexico, some color there on the fiber overlay in Brazil?
Daniel Hajj: Well, as you know in Brazil we have a cable we have FTTH -- cable, yes. And all the networks are already prepared with DOCSIS 3.1. So we could deliver one gigabit speed in all of the network. Or as you mentioned, we will build in fibre to the homes use three or four years ago. Now we will have around 9.5 million home passes with fiber, we expect to end with 11.1 million home passes with fiber.  So, I think we -- that's why you see the figures that we are getting net gain in Brazil because we've been doing the speed in cable and in private to the home, both as well in Brazil building work in a lot of customer experience. So all the time on installation on time to repair customer satisfaction. We've been really working and putting a lot of effort as well in customer retention. So we will end with that with all the all the cable networks with DOCSIS 3.1 and with the 11.1 million fibre to the home by the end of the year.
Unidentified Analyst: Very clear. Thank you. Thank you for your answers.
Operator: Next question comes from Andres Coello from Scotiabank. Your line is open.
Andres Coello : Thank you for taking my question. And in the last couple of months, we have seen news regarding new technologies that can connect satellite directly to do unmodified mobile phones, especially for rural areas where there are no towers currently, I think Latin America, some of your competitors already have agreements with new satellite companies, such as dialling ports, such as Space Mobile, I was wondering what are your thoughts on these new technologies? And if you can provide some color on what percentage of your CapEx goes into covering rural or distant areas? Thank you.
Daniel Hajj: Well, I think Oscar can comment a little bit more deeply on that. But I think these satellites are like a compliment also for our technology because a lot of our cell sites, towers that are far that are very expensive to connect with the fiber or to connect with the wireless microwaves we connect to with satellite so we have our own satellite business as part one and we connect that but there's opportunity also with other satellite businesses that we also connect with other satellite business or it's a compliment I think it's going to be difficult that the short term to connect every people in Latin America in every place, I think in the long run, we are going do it. But satellite can help to cover that. I don't think it's a competition, but it's also a compliment to do that. To do it with satellite. It's more expensive for the customer. It's more expensive in cost. So as we can do more and more wireless I think it's going to be better for the people. But Oscar, I don't know if you…
Oscar Hauske : No, as you mentioned, we've been working with Star One for many years for our own company. Of course, the LEO satellite, the LEO constellation that is coming to LEO satellite, the Sterling ASP, but we have relations with different satellite providers we will be using for mobile backhaul, I think in all the countries to reach rural areas.  I think these new offering that is a LEO satellite will do more economical official, to rich, another location of rural location. And we are we are working with these companies to complement our infrastructure in rural areas. So I think it's a good technology to reach rural areas, most cost effective way. And we are working with those companies to bring it together to the market.
Andres Coello: Understood, thank you.
Operator: Our next question comes from Phani Kanumuri from HSBC. Your line is open.
Phani Kanumuri : Thanks for taking my questions. My first question is regarding Colombia fixed competition. There seems to be much better trend this quarter in the fixed broadband revenues compared to last quarter. So just wanted to understand the competitive dynamics, whether you're seeing the competition easing in Colombia?  My second question is regarding your pension inflows and outflows. This quarter you had almost 5.9 billion that are freed up from your pension assets? How do you see the trend going forward? Do you see for the freeing up of assets from the pension funds? And considering that in the last few years you have invested or put money into the pension funds? How do you see the trend going forward? Thank you.
Daniel Hajj: Well, I think in Colombia, as we're doing in all the countries, we are putting more fiber FTTH, similar to Brazil, similar to Mexico, similar to almost all the countries and it's bringing us to grow more in the broadband. So it's doing very good. Also, one of the segments that we're doing very good is in the corporate side. So fiber that brings to the houses also brings to the small and medium businesses. And it's, we're growing very good the revenues in the corporate side.  So that's more or less what is happening in Colombia. And that's the reason why we're thinking and trying to do a little bit more CapEx and a little more fiber to see some opportunities that bring us more revenue in the future to bring forward a little bit of our CapEx and to cover more, some places. So that's what we're doing. It is, as Carlos said, the broadband is one of the best quarters that we're doing is something that we do last year, that bring us more customers this year. And that's what we want to advance a little bit on that. And I don't know, Oscar if you want to do comment something more on Columbia.
Oscar Hauske : No, the same thing, we already upgraded a network cable network to deliver high speeds. We've been building fibre to the home since four years ago. And we have a very aggressive plan to do fibre to the home this year. So I think we are we're very well positioned in the market. But there is a lot of competition does the flu in Colombia. 
Carlos Moreno: In think on the pension fund, I think it's important to understand that we have to manage upon and we have to determine how much of the pension in which year should be funded directly out of Telmex fund, obviously, which will be funded from the pension fund itself. And this is something that we faced based on whether, we consider that a given moment, it's better to keep monitoring the pension funds, or it's better to take profits. So to speak from the pension fund, take out some cash.  It also has to do with the tax deductions from the pension payments made directly by Telmex, they can utilize them, there's some value there. So those are there's many, many things in this exercise that we need to take into account. Okay, so that's why we don't have a script voice. And, you know, every single year has to be the same proportion of funding coming from unfunded pension exchanges. And we've talked with like, our views, and our opportunities in terms of tax deductions.
Phani Kanumuri: Thank you. So I guess a quick follow up on the corporate network on the corporate revenues that you have, what percentage of your corporate revenue comes from connectivity versus IT solutions? And considering that this quarter is very strong in terms of the corporate revenue growth? Do you think that this will continue? Or is there some seasonal component to this revenue?
Daniel Hajj: Carlos? 
Carlos Moreno: It's difficult to because we do connectivity to the core to the enterprises, so we do connectivity and brings everything, IT, cloud wireless phones, some application. So there's a lot of things that we sell. So it's difficult to share the revenue on that. But corporate has been growing for the last three years, and I think it's going to still grow for the next year. So Oscar, I don't know…
Oscar Hauske : No, what I would say. And mainly what we've been seeing is winning always in connectivity. So we've been added value to that connectivity. And when we see that it is growing, as you mentioned the cloud services, software as a services, interested data services. And we've been doing well in some verticals. So we are offering to the customer with alliance different vertical solutions in mining in agriculture, not the one that is pushing up the revenues. 
Daniel Hajj: And just to give you an approximation, the consumer data incorporates copper networks and think broadband in the market that is approaching 25% of our service revenue at a consolidated level and that amount, maybe one-third of that could probably be copper net of [indiscernible] 
Carlos Moreno: 68, yes. Copper, right. NPLS, everyone. 
Operator: Our next question comes from Soomit Datta from Newstreet Research. Your line is open.
Soomit Datta : Yes, hi, there. Two or three questions. One, just on CapEx. Interesting to hear you know maybe spending a little bit more in the near term. I guess just conceptually, we've seen some low strength in the Mexican peso versus the dollar in the last few weeks and months. So, in theory, should we be seeing you getting more efficiency from your CapEx? Or do we think maybe the overall $24 billion CapEx can come down given the moves in the currencies? That's the first question, please. I'll come back to the next one.
Oscar Hauske : Yes, I think we're seeing in some markets, the trends have been appreciating not all, but probably the trend -- for that to happen more generally, for the year, I think the [indiscernible], second the Latin American countries to use. So, I think that the type of things that we are looking at doing, which has been a lot of deployment of fiber optic that includes a lot of local currency expensive, because it's not only equipment, but it's basically building and putting the fiber in the ground. So I cannot say that, from that perspective, we are listening to the sound of the patient. If you look at aggregate CapEx probably the split is more or less have effects related and have local costs.
Daniel Hajj: The way to see that we're going to invest a little bit more is that we see opportunities in the market. So in some markets, and that's the reason opportunity means more revenue, and more customers and better ARPUs. More penetration. So those are the things that we're also looking to the reason why we want to bring forward part of the car. 
Soomit Datta: Okay, make makes a lot of sense. Thank you. And just next or final question just on Mexican wireless, please on Telefo, obviously, the business continues to perform well, but I think you haven't actually lifted prices since perhaps 2021. So I was just curious, what are your thoughts on the potential to move up prices in that market? Thank you.
Carlos Moreno: We're at this moment, we're not thinking to increase prices in Mexico. I think we're doing well. People is consuming and people leave jumping to better plans. They are ARPU is growing. And we're not thinking to increase prices in Mexico at this moment. 
Soomit Datta: Okay, that's super helpful. Thank you. 
Operator: Our next question comes from Carlos de Legarreta from ITAU, your line is open.
Carlos de Legarreta : Thank you. Good morning. Just two quick one, please. The first one going back to buybacks, please. It caught my attention that the share buyback fund that you approved this year is lower in both absolute and relative terms compared to the past couple of years. Just wondering what's behind that. And secondly, if you could provide an update of the timing of the towers being of in Europe, that'll be fantastic. Thank you.
Carlos Moreno: I think I was pleased with what I said is on the one hand, the first quarter is we had 3.0 more customer, because basically, we pay handsets in the first quarter, we sold in the last quarter at the final years, we typically all of the handsets sold in the last quarter of a given year are actually paid in the first quarter of the next year. So that's a big draw on working capital. And there's a lot of CapEx, which was not the plan intend to do. And then one in the latter part of the year, the CapEx that was received was accepted towards the second half of the year, it's actually paid in the first quarter. So this is something that has a seasonal impact.  The other thing is Daniel was mentioning, we are adding CapEx to the extent that we're looking at increasing our CapEx for the year, within 4% to 5% relative to our initial project, which is in line with the $8 million per year plan that we mentioned on our investor day for two years. They're basically moving bringing forward part of next year's CapEx to be here. So that we can move faster with the in this current connectivity, and that has to do a lot with putting fiber in the ground.
Carlos de Legarreta : And on the tower spin off in Austria? 
Oscar Hauske : I think we're shooting for the third quarter, I think it's going to be towards the end of August. That's what we are aiming for. I think that we have already received, practically, with one exception, all of the necessary approvals. And we are already working on the financing. Which, by the way, I can say that it will be converted to investment grade ratings. So we're going to be bringing this to market in the next year.
Carlos de Legarreta: Thank you, as usual, I appreciate your answers. Thank you.
Operator: Next question comes from Luca Buntum, from Bank of America. Your line is open.
Luca Buntum : Hi, good afternoon everyone. Also two questions here from my side related to Mexican broadband. Looking at their fourth quarter, you had disconnections in broadband, and now you had very strong connections. So I just wanted to know if there was some sort of adjustment on quarter over quarter basis, or if those were just regular connections that if this is a trend that should continue going forward?  And then my second question is also related to Mexican broadband. But on pricing, how are you seeing the dynamics for the year if there's space to high prices, especially now considering that most of the base is being is now going to fiber? And you are always expanding your fiber penetration within the base? Thank you.
Daniel Hajj: Yes, well, the first one is that we will be putting a lot of resources in customer retention. So we've been reducing the churn. And secondly, we launched a new offering in the marketplace. It's a great product is at 200 megabits symmetrical with fiber, a very, very good price. So that help us on the first quarter. And I think that we will continue in the next quarter because we will be focused on customer retention, improve the installation process and improve the repair processes across all the company.  So, and we have a new offering as well. We are bundle. One of the largest streaming platforms in our broadband, a very good price. And this platform is based in advertising revenue, so the price of the streaming is very good. And I think we will get a good penetration of both products in the market.
Operator: This concludes our Q&A. I'm going to hand back to Mr. Daniel Hajj for any closing remarks.
Daniel Hajj: Well, just want to thank you, everybody, for being in the call. And Daniela, Carlos and Oscar, thank you very much. 
Operator: This concludes today's conference call. You may now disconnect.